Operator: Welcome to the Wheels Up First Quarter 2024 Webcast. It is my pleasure to introduce Keith Ferguson with Wheels Up. Keith, you may proceed. 
Keith Ferguson: Thank you. This morning, we announced our first quarter results, the earnings release with its supporting tables as well as a copy of today's presentation can be found on our Investor Relations website at wheelsup.com/investors. Please refer to the slide with our disclaimer. 
 Today's presentation contains forward-looking statements based on our current forecast and expectations of future events. These statements should be considered estimates only, and actual results may differ materially. 
 During today's webcast, we will refer to non-GAAP financial measures as outlined by SEC guidelines. Unless otherwise noted, all income statement-related financial measures will be non-GAAP other than revenue. Reconciliations of GAAP to non-GAAP financial measures and definitions of non-GAAP financial measures are found within the financial tables of our earnings release and appendix of today's presentation. And with that, I'd like to turn it over to Wheels Up's Chief Executive Officer, George Mattson. 
George Mattson: Thank you, Keith, and thanks to all of you for joining us today. Over the course of the last year, Wheels Up has taken significant steps towards delivering on our commitment to lead the industry in operational excellence while driving efficiency, profitability and durability across our business model. 
 Last year, we made the decision to publicly disclose details on our operational performance in an effort to provide transparency on our journey to being the best run private aviation company globally. I'm pleased to report that we've seen continued operational momentum as we enter into what are seasonally strong periods of demand. 
 In the first quarter, both Completion Rate and On-Time Performance exceeded our internal goals coming in at 98% and 87%, respectively. These results were driven by strong underlying performance improvements within key elements of the operations, including maintenance and dispatch availability of our aircraft under our new operational leadership team. 
 As we deliver on these goals and in keeping with our mindset of continuous improvement, we've begun to focus on an additional internal benchmark, we call brand days. A metric created by Delta to recognize operational excellence. A brand day is a day in which we have zero cancellations of any type across our entire controlled fleet. I'm proud to report that in Q1, we had 27 brand days, by far, the highest in over 2 years since we started tracking that metric. 
 Operational excellence is a continuous journey, and our team is excited to be delivering for customers every day. These metrics as well as our previous adjustments and improvements that place the customer at the center of everything we do, have been a guiding focus for all of Wheels Up as we continue our commitment to delivering exceptional service. And in turn, an experience worth repeating, no matter the journey. 
 But they also create crucial efficiencies that are laying the runway for our strategic goal of driving more focused, profitable growth. Key in our journey to positive adjusted EBITDA is balancing our portfolio across our programmatic and charter service offerings and between leisure and corporate customers. 
 Our charter business, led by our Air Partner platform, is profitable today, making the growth of this business an important contributor to overall profitability. First quarter total charter FTV and grew 25% year-over-year, reflecting increased customer spend on charter services. Net profitable flying, which is nonguaranteed and based on market-based pricing, represents just over 50% of the value of flights provided to our customers. 
 We're also seeing an improving mix in our corporate business, thanks in part to the continued momentum in our Delta partnership, supported by our strong operational performance. Our private aviation solutions complement Delta's premium commercial offering, providing high-value business customers a choice between commercial and private travel while creating more opportunities for weekday travel to complement the weekend concentration that we typically see from our leisure flyers. This balance is a key component for our financial plan to drive asset utilization and profitability going forward. 
 We've seen progress over the course of the last quarter with our fastest growth in corporate block sales, which exceeded 30% year-over-year. We also saw a 40% year-over-year increase in block purchases over $1 million. 
 Finally, let me turn to our programmatic offering. When we announced the primary service area changes last June, we knew the transition would take some time before it showed up in our results, particularly as we have continued to honor the flying commitments we made to customers who purchased blocks on the previous program rule sets. Today, less than 20% of our current blocks are on those legacy rule sets, allowing us to take the next steps to more fully transition and consolidate our controlled fleet flying within that regional footprint. 
 Just a few weeks ago, we announced plans to open a new flagship maintenance facility at Palm Beach International Airport later this year. Todd will provide more details. But that move, along with the closing of underutilized maintenance facilities in Cincinnati, Ohio and Broomfield, Colorado, represents the next phase in the reallocation of our resources to be appropriately concentrated where our fleet will be flying. 
 Consolidating and increasing the density of our operations improves our asset utilization and efficiency while simultaneously improving response times and service for our customers. While we have made great strides in improving our operational performance and business mix, we have more work to do to increase our programmatic demand. 
 With strong block sales and a heightened focus on profitable demand generation, we expect to see increased flight revenue through the remainder of the year. The hiring of our new Chief Commercial Officer, Dave Harvey, and his remit of integrating the key elements of our programmatic commercial engine further advances our mission to build a durable business model our customers and investors expect. With that, let me turn it over to Todd to discuss our financial results. 
Todd Smith: Thanks, George. It's great to be with you all today. For my remarks, I will focus on 3 topics: a review of our first quarter, details on the structural changes that have improved our underlying businesses and our plan to achieve positive adjusted EBITDA later this year. 
 Starting with a review of the first quarter. Revenue was $197 million for the quarter, which represents a reduction of 44% year-over-year due to exiting of our aircraft management and aircraft sales businesses, the transition of our reduced programmatic flying areas where we are exiting unprofitable flight revenue and lower industry demand. 
 As previously described, since charter revenue is reported on a net rather than a gross basis. We expect our GAAP reported revenue growth will continue to be weighed down by an increasing mix of charter flying. That is why last quarter we introduced a new metric, which we call Flight Transaction Value, which reports the full value of what our customers spend on flights with us. 
 Specifically, first quarter Total Private Jet Flight Transaction Value, which captures the value of all of our private jet flying, was down 26% year-over-year. That is a much less significant reduction than the reported 35% decline in our reported GAAP flight revenue. 
 We believe that total private flight transaction value is a more indicative measure of our underlying flying trends and the strength of our charter offerings. Consistent with our strategy to grow our charter business, total charter FTV was up 25% year-over-year and accounted for 54% of our total flight transaction value in the quarter. These trends highlight the clear progress we are making in our goals to grow our charter business. 
 Total Private Jet Flight Transaction Value per Live Flight Legs was $16,315 and down 3% year-over-year. That represents an apples-to-apples comparison of the spend per flight that we deliver for our customers. As George highlighted, after slower demand in January and February, we saw improvement in our flight volumes in March, which provides momentum for the second quarter. 
 Our adjusted contribution margin was 1% in the quarter. reflecting lower utilization of our fixed assets due to a decline in programmatic volumes as a result of the transitioning of our programmatic offering and industry weakness. Consistent with demand levels, our March exit rate for adjusted contribution margin was significantly higher than the total quarter. 
 Although our adjusted contribution margin was challenging, we have made substantial progress in reducing our cost of revenue. We have reduced structural costs within our business, and we expect to continue to adjust the size of our controlled fleet to better align with our programmatic offering. 
 We believe we are well positioned to drive strong incremental margin as we grow our revenue profile over the remainder of the year. Adjusted EBITDA loss was $49 million for the quarter and flat year-over-year despite a decrease in revenues of 44%. 
 Similar to adjusted contribution margin, the performance masks key structural improvements we have made to the business. We have diligently pruned unnecessary costs and we are proud of the fact that the business is increasing its performance capability as a leaner and smaller company. 
 GAAP net loss was $97 million for the quarter, slightly improved year-over-year. Prepaid blocks were $114 million for the quarter, seasonally lower versus Q4 but up 14% year-over-year. We believe this reflects our improved operating performance and stronger partnership with Delta. 
 As George highlighted, we saw particular strength from corporate customers with corporate blocks representing the highest percentage of total blocks in our history. This reflects the success of our efforts to increase our exposure in that important customer segment. 
 We ended the quarter with total liquidity plus reserve deposits of $301 million, which includes cash and cash equivalents, the undrawn revolver from Delta and the $20 million EETC reserve deposits. Although that was down versus the prior year, our cash usage for the quarter was a fraction of the first quarter of 2023 and improved by over 60% year-over-year. That reflects the increased block performance and improved cash management and working capital initiatives we have executed on. 
 Our deferred revenue balance was down 28% year-over-year to what we believe is a more sustainable level. We are encouraged by the fact that our deferred revenue additions and usage was the most balanced it has been in the first quarter since 2020. We also continued to divest excess aircraft and used a portion of the proceeds from those sales to pay down $16 million of our long-term debt. 
 Next, I want to provide additional color on the structural changes that we have made to our business and how those initiatives position us for long-term profitability and success. Last June, we took the difficult but necessary step to overhaul our programmatic offering to focus our controlled fleet on primary service areas where we had a network density advantage. 
 We knew that transition would be challenging and takes some time to show up in our numbers as we honored previous commitments to fly anywhere in the country. Today, less than 20% of our current block balances are on those legacy pre-June 2023 rule sets, allowing us to take the next steps to more fully transition and consolidate our controlled fleet flying within our regional footprint. 
 We have made a lot of progress in overhauling the mix of our business. We have been successful in our efforts to increase our mix of profitable charter flying, much of which is fulfilled on an asset-light and capital-efficient basis. As George touched on, we are seeing growing momentum with our corporate initiatives. Securing a higher mix of corporate blocks is a crucial step in balancing our flying over the days of the week, creating significantly more opportunities for weekday travel to complement the weekend concentration we typically see from our leisure flyers. 
 This balance is a key component of our financial plan to drive asset utilization and deliver higher incremental margins going forward. As we just announced a few weeks ago, a key next step operationally is to open a new flagship maintenance facility at Palm Beach International Airport later this year. That move, along with the closing of underutilized maintenance facilities in Cincinnati, Ohio and Broomfield, Colorado is a crucial step in the reallocation of our maintenance capabilities to be appropriately concentrated where our fleet will be flying. 
 We were also pleased to partner with [ Theme Arrow ] and Avex Aviation to offer a career path for our affected employees. Those actions, combined with the completion of our certificate consolidation and further rightsizing of our fleet should allow us to significantly increase our asset utilization and efficiency with faster response times and improved service for our customers. 
 So now let me walk through how those actions we have taken and are in the process of taking position us to achieve positive adjusted EBITDA later this year. As George highlighted, our operations are performing better than ever, with strong customer service metrics. Those results are the first proof point that our initiatives are working as they are the direct result of actions taken by our management team to consolidate our operations in our member operations center, increase our aircraft maintenance availability by over 10% year-over-year, work with the FAA to combine our certificates and reduce complexity in our operations and execute on an overhaul of our program changes that position the company for long-term success. 
 Admittedly, to date, those actions have been more customer-centric. Focusing on customers is the first step to building a strong and sustainable business. We believe the flying experience with Wheels Up today is significantly better than it was a few years ago, and even a few months ago, and we are committed to continuing that improvement journey. 
 We anticipate that financial benefits will become more apparent through the remainder of the year. We expect to take further steps to optimize our fleet size to match demand in our network, consolidate our maintenance operations in our new facility at PBI and see benefits from improved revenue and schedule management efforts that will allow us to shape demand in off-peak periods. 
 In addition, our new Chief Commercial Officer, will continue our efforts to better integrate our commercial marketing and revenue management activities to help us maximize profitable revenue growth and utility. Lastly, we are pleased with our capital position and are thankful for our deep partnership with Delta and the resources they have provided us. Delta shares our optimism and the opportunity ahead of us as we execute on our goal to seamlessly integrate travel across private and premium commercial aviation. With that, let me now turn it back to George for his concluding remarks. 
George Mattson: Thanks, Todd. To summarize, we remain committed to becoming the best run and most reliable private aviation company in the world while building a strong and durable business. We have made a great deal of progress over the past year to fortify the foundation of our business. Progress we expect will translate to significantly improve financial performance through the remainder of the year. 
 As we have described, we are building something new and innovative, an integrated offering of seamless global solutions spanning premium commercial and private aviation through a strategic partnership with Delta. 
 To borrow the words of Ed Bastian, we're just getting started. And I couldn't agree more and be more excited about the opportunity ahead of us. Before I close, I want to thank our extremely talented team of aviation experts for their strength, commitment and passion to the company, which is evident every day in the work and dedication to delivering for our members and customers and always safe and exceptional flight experience. I also want to thank our members and customers for their continued loyalty. I look forward to leading our exceptional team in delivering an experience worth repeating to you every day. Thank you for your interest. 
Operator: That concludes the Wheels Up First Quarter 2024 webcast. Thank you for your participation and enjoy the rest of your day.